Operator: Good afternoon, and welcome to the Equinix Third Quarter Earnings Conference Call. All lines will be open, until we have the question-and-answer. Today's conference is being recorded. If anyone has objections, please disconnect at this time. I'd now like to turn the call over to Katrina Rymill, Vice President of Investor Relations. You may begin.
Katrina Rymill - Equinix, Inc.: Good afternoon, and welcome to today's conference call. Before we get started, I'd like to remind everyone that some of the statements that we'll be making today are forward-looking in nature and involve risks and uncertainties. Actual results may vary significantly from those statements and may be affected by the risks we identified in today's press release and those identified in our filings with the SEC, including our most recent Form 10-K filed on February 26, 2016, and 10-Q filed on August 8, 2016. Equinix assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. In addition, in light of Regulation Fair Disclosure, it's Equinix's policy not to comment on its financial guidance during the quarter, unless it is done through an exclusive public disclosure. In addition, we'll provide non-GAAP measures on today's conference call. We provide a reconciliation of those measures to the most directly comparable GAAP measures and a list of the reasons why the company uses these measures in today's press release on the Equinix Investor Relations page at www.equinix.com. We would also like to remind you that we post important information about Equinix on the Investor Relations page of our website. We encourage you to check our website regularly for the most current available information. With us today are Steve Smith, Equinix's CEO and President; Keith Taylor, Chief Financial Officer; and Charles Meyers, Chief Operating Officer. Following our prepared remarks, we'll be take questions from sell-side analysts. In the interest of wrapping this call up in an hour, we'd like to ask these analysts to limit any follow-on questions to just one. At this time, I'll turn the call over to Steve.
Stephen M. Smith - Equinix, Inc.: Okay. Thank you, Katrina. Good afternoon, and welcome to our third quarter earnings call. We had a great third quarter, delivering record bookings fueled by significant growth in our cloud, financial and enterprise segments. We see a robust pipeline driven by strong global demand from cloud service providers and the broad adoption of hybrid cloud as the IT architecture of choice. Today, Platform Equinix offers access to more than 1,400 networks and 2,700 cloud and IT service providers, making us a critical partner for multinational enterprises thinking to re-architect their infrastructure to reduce costs, enhance their flexibility and optimize performance in an increasingly cloud-first world. As depicted on slide 3, third quarter revenues were $924.7 million, up 3% quarter-over-quarter and up 14% over the same quarter last year on an organic and constant currency basis, above the top end of our guidance range. Adjusted EBITDA was $420 million for the quarter, flat over the prior quarter and up 18% year-over-year on an organic and constant currency basis. Adjusted EBITDA absorbs an incremental $5 million of cash-neutral U.S. GAAP adjustments related to Telecity and $2.5 million of integration costs accelerated into Q3. Absent these adjustments, our adjusted EBITDA would have been at $427.5 million above the top end of our guidance range. AFFO grew 44% year-over-year on a normalized and constant currency basis. We are successfully cultivating and curating our digital ecosystems, which is driving healthy operating metrics across the board including firm MRR per cabinet, low churn and strong interconnection growth. We added 10 Fortune 500 customers this quarter including: Target, a leading retailer; and Aetna, a healthcare and insurance provider, and we now have penetrated nearly one-third of the Fortune 500 and a quarter of the Forbes Global 2000 companies. Our fastest growth continues to come from three region deployments, which now represent 55% of total recurring revenue, highlighting the importance of our global reach. Across all fronts, we are pleased with the volume, quality and diversity of bookings. We continue to capture critical strategic footprints and are leveraging our scaled global service delivery platform to process more deal flow than any other data center company. We are pressing our advantage to capture the next wave of demand, enhancing our go-to-market capabilities to win the cloud-enabled enterprise. Many new use cases are driving data center colocation for the foreseeable future, including the Internet of Things, next-generation security services, submarine cables, digital payments, wireless aggregation, as well as compute storage and networking trends. Our differentiation as a company and the mode around our business continues to expand as we penetrate these new markets and grow our global interconnection platform. I would like to next provide commentary on how our acquisitions, organic development and expanding portfolio of interconnection services are accelerating our market leadership. Starting with interconnection, interconnection revenue grew 19% year-over-year on an organic and constant currency basis. We now have over 188,000 cross connects, and this is the ninth quarter in a row where we added greater than 5,000 cross connects. We saw strong growth of connections to cloud through both direct cross connects and our Cloud Exchange. Our Internet Exchanges also continue to scale with provision capacity ramping up with 100-gig upgrades, which bodes well for continued traffic growth. Also this quarter, we rolled out our Internet Exchange in Helsinki, based on customer demand in this former Telecity site, expanding coverage of our Internet Exchanges to 19 markets worldwide. Another interconnection driver is the submarine cable industry, which is experiencing explosive growth driven primarily by exponential increases in data traffic consumed by the large cloud service providers and innovations in optical equipment, with more cable laid in 2016 than over the past five years combined. As a result, we're seeing significant momentum as their strategic partner in these submarine cable projects, and we have won edge deployments for 12 projects to-date, eight of which are active and four of which are in progress. Winning these deployments builds on our original vision of Equinix being the intersection point, where all the data bits flow, and these wins will drive even more traffic through our sites, flowing through colocation and interconnection services as networking cloud providers join the ecosystem. These multi-decade cable projects will help anchor our sites as the key interconnection points around the world and our wins include AquaComms, which runs from New York to London; Southern Cross Cable Network, which runs from California to Sydney; and FASTER, which runs from the West Coast of the United States to Japan. Our newest win is with Monet, a next-generation cable architecture owned by Google and three telecom providers, connecting the United States to Brazil, where our Miami IBX will service the U.S. cable landing station. The Monet deployment represents an industry first, deploying a submarine cable architecture together with an integrated cable landing station inside Equinix's network and cloud-dense multi-tenant data centers. This new architecture, which eliminates the need for a separate cable landing station, was developed to meet the needs of large cloud providers for speed, efficiency and open system design. Turning to acquisitions, we significantly extended our scale and reach with the Telecity and Bit-isle acquisitions in Europe and Japan, and are progressing well with integrating these two businesses to deliver more value to our customers. The Telecity business delivered solid financial performance in the quarter and were ahead of plan with our revenue and cost synergy targets, which includes customer cross-selling, while concurrently integrating our product portfolio and our pricing strategy. We are enriching the data center metro connectivity across our combined EMEA footprint, which was recently completed in London and is underway in five other EMEA metros. We're also pleased with the Bit-isle's progress and saw healthy bookings across the entire Japanese business in the third quarter. We see sustained interest in our expanded Japanese portfolio, and tethering the Equinix and Bit-isle assets together has allowed us to position all of the properties as part of a larger campus ecosystem. Turning to our organic development activity, we continued to invest and expand globally with 18 announced expansion projects underway. This quarter, we are moving forward with additional expansions in Dallas, Dublin, Frankfurt, Helsinki and Zurich totaling over $100 million of capital expenditures. We are also progressing with five major new IBX builds in Amsterdam, Ashburn, Frankfurt, São Paulo and Silicon Valley that will give us key capacity to satisfy strong demand and will expand our data center count to over 150 by mid-2017. In terms of our asset ownership strategy, we continue to acquire and develop land, building major new campuses on owned land in Ashburn, Frankfurt and Silicon Valley. This quarter, we also bought six acres of land next to our Chicago-3 IBX, which we'll develop over time to expand our Chicago Elk Grove campus, which has seen increasing demand from cloud and financial customers. These capital investments are delivering very healthy growth and strong returns as shown on slide 4. Revenues from our 70 stabilized IBXs grew 6% year-over-year, largely driven by an increase in cross connects and power density. These stabilized assets are generating 32% cash-on-cash return on the gross PP&E invested, and utilization has stepped up to 87%. Looking beyond the numbers, customers increasingly care about greening their supply chains, and we are working hard to reduce our environmental and carbon footprint by improving energy efficiency in sourcing of renewable energy. We are building in our position as the leader in our space and continue to make progress towards our long-term goal of 100% clean and renewable energy. Let me now shift and cover the quarterly highlights from our industry verticals. And I'll start with the networks. This vertical delivered strong bookings, a nice step up in revenues and meaningful new logo adds this quarter. Network service providers, cable operators and satellite providers are growing with Equinix as they shift their portfolios to address the enterprise demand for cloud, mobile and new digital services like the Internet of Things. Growth this quarter was led by strength in EMEA and Asia as wireline providers augment their infrastructure to support cloud connectivity and deploy new optical technology. Customer expansions included Orange Business Services, a global IT and communications provider, deploying a new cloud offering for enterprises, and Hawaiki submarine cable, a Trans-Pacific cable system between Australia and the United States. The financial services vertical achieved record bookings with over-indexing growth from the trading, insurance and digital payment segments as we continue to make progress in expanding our relationships far beyond electronic trading. We've seen minimal impact to-date from Brexit in our financial services segment with continued traction across Europe, including near-record bookings for the financial services segment in the UK. This quarter, we expanded with PayPal, an important customer in the digital payment ecosystem that is interconnecting to business partners to improve performance and latency and helps PayPal maintain seamless transactions through on-demand shopping anywhere in the world. We also expanded with insurance customers including Lloyd's, who is deploying a cloud-based risk modeling platform for the insurance industry as well as a Fortune 100 insurance firm leveraging connectivity to AWS for big data analytics. In the content and digital media vertical, advertisers, CDMs and digital media were the growth drivers for bookings, led by the Asia-Pacific region. Customer wins included Abbott Technology (12:10), a leading editing and distribution platform that is deploying Performance Hub to connect remote end users to its product suite via Azure, as well as expansion in the quarter from ChinaCache, Patayo (12:23), Tencent and Yahoo! as they expand their digital edges. The cloud and IT services vertical had its second best bookings quarter with growth in software-as-a-service and multi-region infrastructure as a service deployments. We continue to enhance our value as the home of the interconnected cloud by increasing cloud density and coverage of software-as-a-service providers and making it easy for enterprises to find and consume a broad range of cloud services. Our Cloud Exchange saw a strong adoption with solid growth in EMEA, good port orders and ramping traffic driven by over 540 enterprises, clouds and networks, using Cloud Exchange to interconnect. We continue to add cloud service providers across our markets, deepening our strategic footprints with anchors such as AWS, Azure, IBM Softlayer, Google and Oracle, and expanding new availability to specialized cloud services and security, unified communications and enterprise application test and development. Turning to enterprise, this vertical also saw its second highest bookings quarter, led by the Americas, and captured a record number of new customers with expanding penetration of the Fortune 500. Wins included a Fortune 250 food manufacturer embracing digital transformation, a top three auto manufacturer optimizing their network topology and connecting to Azure through Cloud Exchange, as well as J.B. Hunt, a Fortune 500 transportation company. Our Performance Hub solution continues to see strong adoption and more than 560 customers are using this solution to re-architect their infrastructure to directly connect their people, locations, clouds and data. And finally, we continue to build and enhance our go-to-market engine through both direct and indirect channels. We are improving our market awareness and lead generation capability through targeted programs and seeing strong results in creating a pipeline of highly qualified opportunities. We are seeing a steady stream of new customer adds, trending between 150 and 200 a quarter, with an increasing share coming from cloud and enterprise. We're also enjoying continued success in channel bookings which account for roughly 15% of total bookings over the past several quarters, with two-thirds of this activity from resellers who are amplifying our market reach and providing our customers with end-to-end solutions. So, let me stop there and turn the call over to Keith to cover the results for the quarter.
Keith D. Taylor - Equinix, Inc.: Thanks, Steve and good afternoon to everyone on the call. As highlighted by Steve, Q3 was another very strong quarter across virtually all of our key operating metrics. We had record bookings with strong performance across each of the regions as well as our verticals, once again, reflecting the favorable position we enjoy across our marketplace. We delivered our 55th straight quarter of top line growth, the results of disciplined execution and we experienced another quarter of healthy margin performance resulting in strong flow through to AFFO from the underlying business. Revenues in AFFO were above our expectations, while adjusted EBITDA was at the low end of our guidance range, primarily due to cash-neutral U.S. GAAP adjustments related to Telecity. Absent these adjustments, our adjusted EBITDA would have been above the top end of our guidance range, consistent with our revenues and our operating performance. Looking at our other operating metrics, our MRR per cabinet yield continues to remain strong at greater than $2,000 per cabinet. We added 2,200 net billable cabinets and gross cross connect additions were a very positive 6,400 in the quarter. Note that all metrics have been normalized for the sale of our London 2 IBX, which was sold in early July as part of our asset divestiture process related to the Telecity acquisition. With respect to our acquisitions, Telecity and Bit-isle had their best bookings quarter of the year and we're making solid progress with our integration efforts. We're already enjoying the benefits of a number of cross-sell successes, while the depth of the sales pipeline continues to grow, and we're on track to achieve our targeted cost synergies by the end of 2017. The financial and IT system work is well underway and we've defined the critical initiatives to operationally integrate the back offices over the next 18 months. Specifically, as it relates to Bit-isle, we've integrated the business faster than originally anticipated, positioning the business to accelerate revenues and increase their operating margin more quickly than planned. We've also been able to sell their non-core assets sooner than expected. In October, we entered into an agreement to sell Terra Power, the third non-core Bit-isle business line, for approximately $78 million at current exchange rates. These proceeds, once fully received, will effectively reduce our net investment in Bit-isle and should make this transaction one of our best performing M&A transactions from a return perspective. And finally, we've now replaced the temporary Bit-isle bridge facility with a permanent debt facility, with an all-in cost of funds approximating 2%. Turning to foreign currency, post-Brexit news we saw the weakening of the U.S. pound and the euro relative to the U.S. dollar. Since that time, the U.S. dollar has continued to strengthen against most of our operating currencies, largely due to a view that policymakers will increase interest rates in the U.S. by the end of the year. Our current FX hedges have proven to be very effective during this volatile period; and as a result, despite some level of impact, we don't anticipate this to be meaningful to our Q4 operating results, largely due to our pound sterling hedges being placed at $1.54 to the pound. As we look into 2017, we've already hedged over 50% of the EMEA revenues in cash flows, and we expect our hedge position to increase over time as we continue to integrate Telecity entities into the EMEA business. So turning to the third quarter, as depicted on slide 5, global Q3 revenues were at $924.7 million, above the top end of our guidance range, up 3% over the prior quarter and 14% over the same quarter last year on an organic and constant currency basis, reflecting positive momentum in both MRR and NRR revenue lines. Our global platform continues to expand in Asia-Pacific and EMEA, showing organic and constant currency growth on the same quarter compared to last year of 19% and 15%, respectively, while the Americas region produced steady growth of 11%. Our as-reported revenues include $147.1 million from our acquisitions, consistent with our expectations. Q3 revenues net of our FX hedges included a $1.9 million negative currency impact when compared to the average FX rates used last quarter and a $1.3 million positive currency benefit when compared to our guidance range. Global adjusted EBITDA was $420 million, flat over the prior quarter and up 18% over the same quarter last year on an organic and constant currency basis. Our as-reported adjusted EBITDA included $19 million of integration costs. As a result, our adjusted EBITDA margins stepped down to 45.4%, lower than the prior quarter. Relative to our prior guidance, we booked an incremental $5 million of cash-neutral U.S. GAAP adjustments related to Telecity, as we refined our estimates during Q3. These adjustments included conversion of certain leases from capitalized to operating classification, which had minimal net impact to our AFFO metric. Additionally, we accelerated $2.5 million of Telecity integration costs into Q3. Our Q3 adjusted EBITDA performance, net of our FX hedges was essentially flat when compared to the average FX rates last quarter and a $700,000 positive benefit when compared to our guidance range. Global AFFO was $284.2 million, down slightly over the prior quarter. AFFO on a normalized and constant currency basis increased 44% over the prior year. Moving to churn, global Q3 churn was 2%, consistent with our expectations. For the fourth quarter, we expect MRR churn to remain in our targeted range to 2% to 2.5%. Turning to 2017, we continue to expect MRR churn to range average between 2% and 2.5% per quarter, which includes elevated churn of approximately 3% in Q1 related to the final phase of LinkedIn's bifurcation strategy. I'd now like to provide a few highlights on the regions with full results covered on slides 6 through 8. The Americas region had its second highest bookings quarter of all time driven by our cloud and financial services verticals with ongoing strong outbound production and healthy yield. EMEA delivered a record bookings quarter with particular strength in the Dutch and French markets. EMEA continued to execute against its key business initiatives, including the integration of the Telecity business. As a reminder, revenue lost from the London 2 asset sale approximated $3 million for the quarter. Asia-Pacific remained our fastest-growing region with strong bookings in Hong Kong and Tokyo markets driven by cloud and IT and financial verticals. Interconnection revenues continued to outpace overall growth of the business with the Americas, APAC and EMEA interconnection revenues now at 23%, 11% and 7%, respectively, of recurring revenues, updated for the sale of our London 2 IBX. And now looking at the balance sheet, please refer to slide 9. Unrestricted cash and investments increased over $1 billion after taking into consideration the proceeds related to the EMEA asset sale, as well as funds used to purchase our Paris 2 and 3 assets. Our outstanding debt approximates $7 billion, a slight decrease over the prior quarter, primarily due to one of our capital leases converting to an operating lease. Our debt leverage ratio, net of unrestricted cash, was about 3.6 times, our Q3 annualized adjusted EBITDA. Also of note during the quarter, S&P raised our corporate credit rating to BB+. We continue to aspire to be an investment grade-rated company, yet we'll continue to balance that aspiration with our objective to invest our capital with the highest and best-use mindset. Now switching to AFFO and dividends on slide 10. For 2016, we're raising our as-reported AFFO to now range between $1.059 billion and $1.065 billion, a 28% year-over-year increase, the results of our strong operating performance and lower-than-expected interest and tax expenses. AFFO on a normalized and constant currency basis is now expected to range between $1.182 billion and $1.188 billion, a 35% increase over the prior year. On a fully diluted share basis using our weighted average 71.7 million common shares outstanding, AFFO per share is expected to be $16.55, a 13% increase over the prior year. Also, today we announced our Q4 dividend of $1.75 a share, consistent with our Q3 quarterly dividend. Our AFFO payout ratio is estimated to be approximately 47% for 2016. Now looking at capital expenditures, please refer to slide 11. For the quarter, capital expenditures were $279.5 million, including recurring CapEx of $41.6 million, consistent with our guidance expectations. During the quarter, we opened six new projects across our region at a much-needed capacity, particularly in EMEA, and currently have another 18 projects underway as we continue to see strong development returns across our new expansion and stabilized at IBX projects. And finally, we provided you a number of slides abridge our 2016 guidance from the normalized 2015 performance, including slides for revenue, adjusted EBITDA and the AFFO. Please refer to slides 12 through 15. I'll now turn the call back to Steve.
Stephen M. Smith - Equinix, Inc.: Okay. Thanks, Keith. And finally, on slide 16, it summarizes our updated Q4 and full-year 2016 guidance, including the impact of FX changes. Now let me cover our updated 2016 outlook. For the full-year of 2016, we're raising our revenue guidance to now range between $3.609 billion and $3.615 billion, a 33% as-reported growth or organic and constant currency growth of 14.1% compared to the prior year. This updated guidance includes a negative $1 million FX impact when compared to prior guidance range. Net of FX revenue is stepping up $10 million, the result of our strong Q3 operating performance. For 2016, we are updating our adjusted EBITDA guidance to now range between $1.65 billion and $1.656 billion and organic and constant currency growth of 17% compared to the prior year. This absorbs an incremental $4 million of accelerated integration costs, $10 million of primarily cash-neutral U.S. GAAP adjustments related to Telecity, and minimal FX impact. We are pleased with the business' adjusted EBITDA performance and expect to continue to drive margin improvement into 2017. And we're raising our AFFO to range between $1.059 billion and $1.065 billion, a 35% normalized and constant currency growth rate compared to the prior year. This $17 million AFFO increase has negligible foreign currency benefit when compared to prior guidance and the result of strong operating performance and lower interest expense. And finally, we expect our 2016 capital expenditures to be approximately $1 billion for the year. In closing, we are pleased with our progress this year as we continue to successfully integrate our acquisitions, grow our global platform and scale our interconnection services. Our digital ecosystems continue to thrive globally and the adoption of cloud services by enterprises is accelerating, driving new opportunities at Equinix, enhancing our operating metrics and significantly expanding our addressable market. We are focused on scaling and refining our go-to-market engine, directed at capturing the significant shift to the cloud and delivering continued profitable growth. So, let me stop here and we'll open it up for questions. I'll turn it back over to you, Sean.
Operator: Thank you, sir. Our first question is coming from Amir Rozwadowski of Barclays. Your line is open. You may begin.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much, and good afternoon, folks.
Stephen M. Smith - Equinix, Inc.: Hi, Amir.
Amir Rozwadowski - Barclays Capital, Inc.: I was wondering if we could chat a bit more about sort of the enterprise adoption. You folks clearly continue to make progress, and I was wondering if we could dig in a bit here. What specifically are you seeing with respect to deployments? Is there a prospect for accelerating demand? I mean, you've named some fairly notable logos here. It seems as though this sort of land-and-expand strategy has been working in your favor, so I'd love to hear sort of your thought process around enterprise demand, and then I've got a quick follow-up.
Charles J. Meyers - Equinix, Inc.: Sure, Amir. This is Charles. I think there's definitely a prospect for accelerating demand at some level. We continue to see adoption from the top of the enterprise pyramid, in terms of people adopting hybrid cloud as the IT architecture of choice, and really hybrid cloud/multi-cloud, I think that's an important distinction. We're seeing them really embrace public cloud as a way to variabilize their cost structure and gain flexibility, but then also implementing hybrid cloud architectures that allow them to implement certain elements of private infrastructure where they see that as necessary and important from a performance and security standpoint. So, we've had great success with our Performance Hub product, which I think people are using for a number of use cases including WAN optimization as well as implementing the multi-cloud. And I think that we're continuing to see them really, really exercise that as the architecture of choice at the top of the pyramid. And I think what that's starting to do is roll down into their broader enterprise market opportunity as well, and we see that showing up in our channel, in particular, because our channel partners are now bringing a series of value-added services to perhaps smaller enterprise customers that are also viewing to adopt. So, yeah, we definitely see continued momentum and I think strong prospects going forward.
Keith D. Taylor - Equinix, Inc.: Yeah, the other thing I'd add, Charles, is one of the data points I think we picked up in the quarterly reviews was, I think some 60 logos to 70 logos, I think the 65 new logos came from the channel that were enterprise-oriented, so the indirect activity that Charles pointed to is really starting to show up with our partners who are bringing full solutions to the enterprises with Equinix as part of that solution. So, it's pretty exciting, we're starting to see this really ramp as we predicted.
Amir Rozwadowski - Barclays Capital, Inc.: Thanks very much. And then if I may, on the M&A front, it does seem like some of the assets that have been in the market for some time are closer to a successful sale based on, if you listen to what the folks who own those assets have been saying more recently. Any thoughts on – that you might be able to share on their relative attractiveness, whether there has been a willingness to separate the desirable assets versus the less desirable assets under their ownership? I know you guys have a lot on your plate at the moment with integration, but would love to hear your thoughts there.
Stephen M. Smith - Equinix, Inc.: Yeah. Let me – this is Steve. Let me start out there and maybe Charles or Keith would have something to add here. But I would tell you that we remain as we have in the past, very proactive and highly selective on any potential M&A here. We typically look at three critical factors when we look at any type of inorganic activity. One, does it scale our platform globally and give us more diversity of customers? Two, does the transaction enhance our interconnection and/or network density? And then three, does it help us capture the cloud enterprise activity that Charles just talked about? So, we're always looking for assets that fit those criteria, and I think you should expect us to continue to be thoughtful about creating shareholder value and extending this leadership platform that we refer to as Platform Equinix.
Amir Rozwadowski - Barclays Capital, Inc.: Great. Thanks, Steve, Charles.
Charles J. Meyers - Equinix, Inc.: Yeah.
Stephen M. Smith - Equinix, Inc.: Thanks for the question, Amir.
Operator: Thank you, sir. The next question on queue is coming from the line of Mr. Phil Cusick of JPMorgan. Your line is open. You may begin.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Thanks. I wonder if we could start by talking about the progress on Telecity given the commentary on acceleration of integration. Where are you on integrating that into Equinix systems and getting those back to the company level of growth?
Stephen M. Smith - Equinix, Inc.: Sure. Well, let me take the first part of your question, Phil. As it relates to the integration into our systems, a week ago, Monday, we actually finally rolled in UK business in – onto our operating platform, so now we have both the Dutch and the UK business into our eco-platform, which is basically how we continue to scale the business. Next will be Ireland and Sweden, they're already in the REIT structure, and once we get those two onto the operating platform, 70% of the revenues will be covered inside our platform. I think the most important thing to note is, as we acquire, whether it's Telecity or any business, the most important part is getting to the data and understanding what insight we can draw from that data, and so we're working very hard and diligently right now to not only grab the data, get it into our systems, process it, understand it and then execute against it. So that's where we are from an integration perspective. Suffice it to say, when you look at the overall business, as a company we said, look, we'll take revenues up slightly when we look to bid down Telecity on a combined basis. When we look at EBITDA, we're going to take it down roughly $5 million; but as you're aware, there's $10 million of accounting adjustments that are taking place this quarter, which are predominantly non-cash U.S. GAAP adjustments, conform their results into our results. So the business is performing as we anticipate. I think the next step really is, though, to leverage off what we said earlier on, which is continuing to enjoy the benefits of cross-sell and execute against our platform, yet at the same time make sure that we have sufficient inventory in the marketplace to support that.
Charles J. Meyers - Equinix, Inc.: Yeah. The other comment I guess I'd make is relative to – one of the critical pieces of how we view the integration and traction there is cross selling and how well we're doing in terms of cross selling, upselling, across the platforms. And I think we're actually well ahead of plan in terms of what we're seeing there. We're seeing a lot of energy from both sales teams. We've now fully integrated them into a single unified sales team. Probably seeing a little more traction in terms of the Equinix team selling into the Telecity assets, but that's probably to be expected. And I think we're starting to now get the former Telecity employees really fully up to speed on the broad level platform and seeing a lot of energy on that. And so that's another really critical litmus test I think and one that we've learned from previous acquisitions that it really requires a lot of attention, and I feel good about how that's proceeding as well.
Philip A. Cusick - JPMorgan Securities LLC: At what point should we think of those assets back to company-level growth?
Keith D. Taylor - Equinix, Inc.: Again, there's a couple things. Number one, Telecity assets as you know are more fully utilized than our assets. And so it's really about the combination of the two businesses on continuing to grow and prosper collectively. So, it's hard to say specifically what Telecity as an entity – when we'll get back to historical growth, because ultimately what we're doing now is selling across our platform. I think what's most important is recognizing that the integration process will be basically fully complete by the end of next year. We fully expect to get all of our cost synergies. We're seeing some opportunities where our revenue synergies are starting to realize, which is good. And again, we've got very little, if you will, dollars allocated to that in fiscal year 2016, but we're seeing many green shoots of opportunity. And then I think just overall it's the scaling of our platform across Europe not only as we take what assets we have today, but we invest in the platform on a go-forward basis with some of these 18 projects that are underway that I think will really make a difference. And you combine that with what Charles said earlier on or what Steve's talked about from the enterprise perspective, we're really excited about certainly seeing more momentum coming out of that specific entity, but it's really more about the collective business that we're looking forward to executing against.
Philip A. Cusick - JPMorgan Securities LLC: Understood. Thanks, guys.
Operator: Thank you, sir. The next question on queue is coming from the line of Mr. Colby Synesael of Cowen and Company. Your line is open. You may begin.
Colby Synesael - Cowen and Company: Great. I just had some quick modeling questions. One, you at your Investor Day stated you expected to do greater than $18 in AFFO per share in 2017. I'm just curious with the uptick in AFFO this quarter if that's still the right way to think about that? Secondly, when you provide your guidance for 2017 next quarter, I assume you'll give organic growth rate like you've been doing, but I just want to make sure that it's correct that Telecity and Bit-isle will be included in that new calculation? Then just last real quick, your European or EMEA business was a little bit lighter than we were anticipating, and I'm just curious relative to your expectations with the moving parts with LD2 and Paris, if there was anything there that's worth calling out that might explain maybe some of the differences we're expecting? Thanks.
Keith D. Taylor - Equinix, Inc.: Okay. So, let me take them one at a time, Colby. First and foremost, as it relates to an AFFO per share of $18 a share for 2017, we continue to expect to deliver that or better, consistent with what we said at our Analyst Day, despite what transpired this specific quarter. As we think about the planning for 2017 and the guidance that we'll deliver in 2017, no surprise to you as we continue to integrate the platform it really becomes one entity and less about organic versus inorganic. So, we fully anticipate in 2017 that we'll give you complete guidance that includes all three entities on a go-forward basis. And given the fact the cost structures are effectively integrated now or well on their way and we've sold off a number of our non-core assets in the Japanese business, I think it makes best sense to give you one holistic number on a go-forward basis that you will measure us against. And then as it relates to EMEA, absolutely there's a number of things that are going on in the business this quarter. If we're dealing with just top line, other things of course are impacting the business. First and foremost is the LD2 asset sale at $3 million. We get a little bit of a benefit from the Paris acquisition. And then currency, despite my comments that our hedges are working well. You still have the currency impact. Particularly as it relates to Telecity and as you might have recalled in my comments, only 50% – we only have hedged 50%. And the reason we only hedged 50% is until we can get the European entities from Telecity into our platform and in our structure and commissioner structure, any hedges that we place against the cash flow is below the line and not above the line; and as a result, you've got some deterioration as it relates to currency movements in the marketplace.
Stephen M. Smith - Equinix, Inc.: Colby, this is Steve. I think it's also critical that all of us on the call remember that, I mean, we're pretty fortunate with all the digesting of the activity that Keith and Charles are talking about in Europe that we had a record bookings quarter. So like the pipeline is strong. The coverage ratios are strong. So, while all this is going on with digesting this acquisition, we had very good performance of bookings this quarter. A record for that region.
Colby Synesael - Cowen and Company: Great. Thank you.
Stephen M. Smith - Equinix, Inc.: Thanks, Colby.
Operator: Thank you, sir. Next question on queue coming from the line of Mr. Michael Rollins of Citi Research. Your line is open. You may begin.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Hi. Thanks for taking the questions. Going back to slide 3, there's a mention of margin expansion for 2017. I was wondering if you can give us a sense of how you're thinking about margin expansion in terms of magnitude? And how you're balancing that with some of the investments that you've talked about in the past to further some of the strategies around the enterprise, cloud and investing in new ecosystem opportunities? Thanks.
Keith D. Taylor - Equinix, Inc.: So, why don't I take the first part, Mike, and then I think Charles or Steve will want to jump in. I think first and foremost, one of the things we wanted to do was certainly give you an indication that our aspirations and our intent is to continue to deliver improving margins as we come through this year and we look into 2017. I think that was the purpose of that disclosure on page 3. I think to tell you how much we're going do right now, that's – you'll have to wait until February for that one, because we're still working through our strategic plans and budgeting exercise for the year. Suffice it to say, we are looking at a number of different investment opportunities and as you've heard me say before, I think others have certainly said the same thing is a lot of times when we look at how we invest in incremental projects or initiatives, it's really about how do we find our highest and best use of our costs? And so sometimes it means that we reallocate certain cost in areas where we think it's a higher and better use of that capital. So, as we look into 2017, the team's working really hard not only to bend our cost curve, but also to squeeze out more opportunity to fund many of the initiatives that we're looking at that Steve spoke about and Charles has alluded to.
Stephen M. Smith - Equinix, Inc.: Charles, any other response?
Charles J. Meyers - Equinix, Inc.: Yeah, Mike, again, I think the way we look at it is that our job is clearly, margin expansion absolutely a priority for us. But our bigger priority is really create durable long-term value for the shareholder. And so, where we think that we can make an investment that we think is going to create an enhanced ability for us to tap into what we think is a huge addressable market opportunity in front of us then we're going to make a balanced decision to do that. So as Keith said, we're in the midst of making some of those assessments now as to what that will look like for how we'll guide for the year ahead. We still have work to do. We're very pleased with our progress in terms of the evolution of our sales team to be a more capable solution selling enterprise sales team. We're really happy with how our channel continues to scale, but are continuing to look at investments there that are necessary. We feel like we're going to need to continue to evolve our service portfolio to really be responsive to the enterprise market opportunity. All those things are things that we'll look to make some balanced investments in. So, we definitely think there's built to scale and other reasons, opportunities for us to expand margins going forward and we continue to be committed to that, but we'll balance that really against long-term value creation.
Stephen M. Smith - Equinix, Inc.: Mike, I'll give you another dimension on how we think about it, but Charles is spot on with how we're thinking about that. We kind of put it into four buckets. We continue to invest where we can extend our market leadership around interconnection in our inorganic activity and getting that digested. Secondly, we're continuing to invest and accelerating, as Charles said, capturing enterprise. So there's a whole bunch of activities there with our channel and our innovation and our business development activities. Third, we're always seeding future ecosystems. So, our marketing organization spends a lot of time in the future areas around the next version of cloud where security's going to go, where FinTech is going to take us, where the Internet of Things is going to take us. And then lastly, Charles drives a lot of activities in the company to simplify ourselves for growth – systems, people, process, et cetera. So, that's the simplest way to think about where investment areas would go.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Great. I guess one other follow-up real quick. You mentioned your aspirations around investment-grade credit. You also discussed trying to find the optimal target leverage, I think, for the business. What is that range or where is that optimal level today? And as you're targeting more Fortune 500 businesses, do they care if you're an investment-grade, credit-rated company when they do their supplier analysis? Thanks.
Keith D. Taylor - Equinix, Inc.: That's a great question, Mike. Look, we continue to expect that three times to four times net leverage position is appropriate for the business. Right now, there's a fair amount of cash on the balance sheet, as I said at the Analyst Day. And truly, I'll carry on that today that our cash will get consumed in the business, not only as we fund our capital expansion initiatives, but as we continue to pay our dividends and service our other obligations as they come due. That all said, as it relates to customer opportunities, I'm sure there are customers out there that would like to see us in investment-grade. It doesn't come across my desk. I don't think in my entire career, that somebody has not selected us because of our credit rating. But from my perspective, if that's important to somebody, I'm sure we can demonstrate why we are as good as an investment-grade company as anybody else. And so, I'm not particularly worried about it; but again, I think it is important for us to aspire to that and eventually get there, because as interest rates move one way or the other over some period of time, whether that is over a year or over the next five years, we certainly want to enjoy that lower cost of fund relative to some of our peer companies and the like. And so, our goal is to become investment-grade at some point but we're not going to compromise on our desire to grow the business on an organic basis and invest in our capital.
Charles J. Meyers - Equinix, Inc.: Okay. I would say that on balance, I believe our financial health and our balance sheet tends to work to our advantage in those situations relative to all the other options available to customers very frequently. So, I have not seen it work the opposite direction for us typically. So, we tend to be very favorably aligned in that.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Thanks very much.
Keith D. Taylor - Equinix, Inc.: Thanks, Mike.
Stephen M. Smith - Equinix, Inc.: Thanks, Mike.
Operator: Thank you, sir. The next question on queue is coming from the line of Paul Morgan of Canaccord. Your line is open. You may begin.
Paul Burton Morgan - Canaccord Genuity, Inc.: Hi. Good afternoon. Just as I look at the planned expansions for next year, you've got kind of looks like $300 million or so at some of your most densely interconnected assets like Ashburn and San Jose. And just kind of maybe see if you have any comments about what the visible demand is like there and whether the delivery at those particular assets could mean we'll see an acceleration of interconnection growth as those start to deliver just because of the particular assets that we're seeing.
Charles J. Meyers - Equinix, Inc.: Well, yeah, I mean, I'd start by simply saying that right now, we continue to see a very favorable supply-demand balance in the market. So, in fact, I think that many of the markets that we operate in, I think, would be on balance more towards the supply-constrained side of things. And we see a lot of opportunity out there. We see a very robust pipeline in our core sort of campus markets, which is why we've got builds going on in many of those markets. And as you noted, we clearly have a pretty significant portion of our total interconnection portfolio residing in those markets, and so they tend to flow through with interconnection demand in a very healthy way. So hard to calibrate that precisely, but I think it would be fair to say that we're continuing to invest. I mean, that's the reason why we see such healthy returns in those markets, and that's why we're trying to really allocate a larger percentage of our total CapEx portfolio to those markets.
Paul Burton Morgan - Canaccord Genuity, Inc.: Okay. Great. Thanks. And then just as a quick follow-up, maybe I missed it, but did you give exactly kind of what the non-cash adjustments for Telecity were that had the impact on the EBITDA margin?
Keith D. Taylor - Equinix, Inc.: Yeah, Paul. The majority, they're all sort of predominantly lease-related. There's one, as I mentioned, the larger one that affected the results was a capital lease entered. Our debt went down conforming to an operating lease treatment. And then there's a number of other, what I call acquisition-related adjustments, that's the biggest area. there's a few other what we call conforming areas where we've taken Telecity's operating policies and procedures and conforming it to Equinix's standards, such as bad debt and sales allowance, deferred installation and the like. And so for all those reasons, as we come to the closing out period of the Telecity acquisition and finalizing their results into us, it's important to recognize that these small adjustments that take place during that period. The lion's share of them, of course, as you would expect, is around leases, and lease accounting. And hence, why there's really no meaningful impact to AFFO, it's really just moving cost from one bucket to the other, if you will. And therefore, it doesn't affect AFFO or AFFO neutral.
Paul Burton Morgan - Canaccord Genuity, Inc.: Okay. Great. Thanks.
Operator: Thank you, sir. Next question on queue is coming from Matthew Heinz of Stifel. Your line is open. You may begin.
Matthew Heinz - Stifel, Nicolaus & Co., Inc.: Hi. Thanks. Good afternoon. I just had a question on the undersea cable projects that appear to be accelerating globally. Clearly, you've had good success in terms of winning those bids, but I'd like to hear how you're thinking about those wins in terms of strategic importance versus maybe the direct revenue impact from those cables landing in your facilities. Just trying to figure out if this initiative is mostly about enhancing your magnetism around the cloud and content providers or whether you think there's a more direct kind of immediate growth impact?
Stephen M. Smith - Equinix, Inc.: Yeah, sure. This is Steve. Let me start, maybe Charles you can chime in here. First, a little context. I think we've mentioned just a couple times, that we are staring at somewhere near the magnitude of 50 projects around the world of which today we've – as we told you on the script today, we've had 12 wins, 8 are in operation, 4 are under construction. These are all around the world and these are as we've stated in the past, where the technology has advanced to the point where our data centers are located in so many locations there accessible to these cable landing, that the regeneration points they used to have to do when they hit land they can take them straight inland now to an Equinix facility. So, we're working with the suppliers of the cable. We're partnering with them. We're working with the funders of these big cable projects and we're treating it as, like we would any other pursuit. And we want more of that traffic and it's being, these things used to be funded by the big networks years ago. Now they're being funded by the big cloud providers, because they are getting ready for all the cloud traffic that's going to traverse the world. And as we said today we want, the premise of the company is to get more bits of traffic flowing through these data centers. It will pull colo, it will pull interconnection, it will give us several advantages here.
Charles J. Meyers - Equinix, Inc.: Yeah. And there's ripple effect I think in that there is, we would definitely consider these consistent with our ecosystem strategy which is, identifying critical magnets that will create sort of vibrancy in the ecosystems that we're targeting. And particularly now as these sub-c projects are being sort of executed and funded not only by the traditional telecom community, but now by the hyper-scale cloud players. We believe that getting these strategic wins is important to the continued evolution of these ecosystems. And so while they will have a direct and positive financial impact, we think that the broader ecosystem story is really the key part of it.
Matthew Heinz - Stifel, Nicolaus & Co., Inc.: Okay. That's helpful. Thanks. And then just one follow-up on the margins, I'd like to hear, I don't know if you gave us an update, but the prior target for 100 basis points of margin improvement in the kind of core Equinix business, just like to hear how you're tracking against that goal year-to-date?
Keith D. Taylor - Equinix, Inc.: It's a great question. I think when we started the year, we were looking at basically, fiscal year 2015 was 46.7%. As we reported last quarter, we thought we could do a full 100 basis point improvement. With these adjustments, which are 30 basis points we're now looking at again on a normalized margin of roughly 47.4%. So, slightly impacted by these adjustments; but again, as you know, we're really focusing on cash on cash delivery in the business. And there's no impact to AFFO at this juncture. But, it is a slight deterioration in the margin. And as we look forward to the fourth quarter, clearly we want to continue to drive margin – continue margin into the business. If you take out the acquisition-related costs in integration, we're close to 48%. And again, that's a great position to sort of end the year at as we start to think about fiscal year 2017.
Matthew Heinz - Stifel, Nicolaus & Co., Inc.: Okay. Thank you very much.
Operator: Thank you, sir. Next question on queue coming from the line of Jonathan Atkin of RBC Capital Markets. Your line is open. You may begin.
Jonathan Atkin - RBC Capital Markets LLC: Thanks. I've got two quick international questions and then one related to EBITDA. So, on slide 7 for EMEA, I wondered what would the cross connect number be? You list 46,000 and change, but what would that number look like if you were to included Telecity now that you've owned the asset for a time and presumably understand that situation a little better? And then on Asia, I was just interested in China. You've talked about the opportunity there and with plans to maybe enter Beijing. It doesn't appear on your tracking sheet at this point. So, at what point do these sorts of things appear on the tracking sheet that you have contemplated for the future?
Keith D. Taylor - Equinix, Inc.: So, Jon, let me take the first one. I think Steve, Charles will take the second one. As it relates to the cross connects, certainly as we – one of the main things that we have to do when we integrate one company into our platform is get a good handle on the data bit. And understanding exactly what the inventory is, whether it's a cabinet, whether it's a cross connect or power circuit. That's an evolving exercise, as you can appreciate. So, we'll move both the Dutch business and the UK business on the platform, but we're still in the process of making sure that we've clearly understood what basically the unit of measures are. And as a result, it's premature to tell you what the cross connects are. Suffice it to say, though, it would be meaningfully higher than what we're seeing here. Telecity historically had said some – had given some numbers in the marketplace. We want to step away from those numbers, but knowing that they are – there's a meaningful step up in cross connects, if we take the inventory that we see today and apply it to our unit count. That all said, I also want you to understand though that Telecity didn't – they didn't really monetize those assets in a way that would be consistent with Equinix. And hence, I think that's the opportunity that we all see in front of us. Is there an opportunity to over some period of time take the cross connects, add more value to the assets by tethering them together and then being able to monetize that with our customers over some period of time? But rest assured, it's a number that we want to give you. We're just not at a point that we can at this stage. But over the not too distant future, you'll be getting some input on that number.
Stephen M. Smith - Equinix, Inc.: And then Jonathan, this is Steve. On the China update – no new update today on activities with our partner. We're working pretty hard with our partner in Shanghai and looking to expand that to – up north to Beijing. But I would tell you that that's – most of that activity is going to be a 2017 discussion. There's a lot of work going on today that's bringing the big Internet companies out of China into Europe and the U.S. and so our team's very busy with export stuff coming out from the Baidus and the Tencents and the Alibabas. But going deeper into China, our first half there is to get more capacity in Shanghai and then find our way into the next big market. And you'll hear more about that as we move into 2017.
Jonathan Atkin - RBC Capital Markets LLC: Great. And then maybe for Keith. Do you anticipate any further one-time impacts to EBITDA related to integrations underway over the next couple of quarters? Or is that – most of this behind you?
Keith D. Taylor - Equinix, Inc.: Hi. Well, it's a good question, Jonathan. I think as it relates to what we're doing right now, this is bringing us to Q3. Without getting into the dynamics of purchase accounting you really have to complete the majority of, if not all of your acquisition entries by fourth quarters end. So the fourth quarter theoretically would be the time line that we basically would have locked down all the financials and conformed them (57:44) standards. So theoretically, there could be some adjustments in Q4. We are not guiding to them. We don't see any, but I just wanted you to know that, that could take place. Any adjustments post that, unfortunately, will run through the financials in a very discrete way. And certainly, we'd share that with you at a point in time. But as we stand here today, there is no other meaningful planned adjustments to their books or records at this point.
Jonathan Atkin - RBC Capital Markets LLC: Thank you.
Operator: Thank you, sir. Next question on queue coming from the line of Mr. Simon Flannery of Morgan Stanley. Your line is open. You may begin.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thanks very much. Yeah, Keith, just to follow-up to that question. What about integration costs? You accelerated some of those this quarter, so how should we think about integration costs in Q4 and beyond? And talking about the balance sheet and investments, what's the latest thinking on owning real estate? Do you see any opportunities to increase that proportion of your portfolio over the next year or so? Thanks.
Keith D. Taylor - Equinix, Inc.: Yeah, Simon. So in our abridged pages, which eventually I'm sure you'll digest them, you'll see that we've earmarked roughly $17 million of integration costs for Q4. That will bring the total year up to $59 million. That is $4 million higher than we originally anticipated for the year; but at this point in time, because we also have costs earmarked for 2017, we think that we're actually not going to increase that in 2017. In fact, as we stand here today, I think we would reduce it by a $4 million all else being equal. And so right now, the overall project is consistent, the overall integration plan, I should say, is consistent from a dollar perspective. As it relates to acquisition of other property, both raw land, if you will, and then also the land underneath the IBXs that we operate today, we're always looking to acquire those property. Charles alluded to a number of acquisitions that we've made as of late, whether it's the Silicon Valley land, the DC land, Chicago. There's Frankfurt. Some of the land lease arrangements will made in Amsterdam and London. We are actively as a company trying to acquire more property where we can to enhance our campus; but at the same time control more of our revenue from an owned perspective. Right now, our revenue at least on an organic basis with the owned assets is 39%. On a consolidated basis, it's roughly 35%. We want to see that number up, and our stated objective – we'd love to see it around 50%. I don't know if we can get there or when we can get there, but certainly that's our objective is to own more and more of our properties.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thanks for the color.
Operator: Thank you. Next question on queue coming from the line of Frank Louthan of Raymond James. Your line is open. You may begin.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Great. Thank you. I want to discuss the bookings. Can you characterize those relative to what you've seen in last 12 months? So, maybe the types of customers and the rates you're seeing and the length of contract? And how has that changed in the last 12 months versus what it's been in the past?
Stephen M. Smith - Equinix, Inc.: Charles, do you want to take that?
Charles J. Meyers - Equinix, Inc.: Sure. Yeah, again, we had a very healthy quarter. I think that we – every quarter's a little different in terms of whether or not we see any kind of large footprint activity, and so we did see a bit of that in Q3. We do see a healthy pipeline right now of cloud activity both on the larger footprint size as well as more in the traditional sweet spot. And then, of course, we're seeing continued strength in enterprise demand. So again, we had records in several of our verticals and near records in the others. So really good strength across the verticals. I would say that we're really hitting our stride in terms of being able to generate higher numbers of sort of sweet spot deals and really accelerating the amount of business we can do in each quarter. From a rate perspective, I think we're seeing solid pricing trends across our geographies and really hitting the sweet spot in terms of some of these enterprise-use cases around Performance Hub, hybrid cloud, multi-cloud, et cetera, and I think that's a lot of what's driving the bookings momentum at this point.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Okay. Great. Thank you.
Katrina Rymill - Equinix, Inc.: Great. Thank you. That concludes our Q3 call. Thank you for joining us.
Operator: And that concludes today's conference. Thank you for joining. You may now disconnect.